Operator: Good day, ladies and gentlemen. Welcome to the Genuine Parts Company First Quarter 2022 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. At this time, I’d now like to turn the conference over to Sid Jones, Senior Vice President, Investor Relations. Please go ahead.
Sid Jones: Good morning, and thank you for joining us today for the Genuine Parts Company first quarter 2022 earnings conference call. With me today are Paul Donahue, our Chairman and Chief Executive Officer; Will Stengel, our President; Carol Yancey, our Executive Vice President and Chief Financial Officer; and Bert Nappier, our EVP and CFO-Elect. As a reminder, today’s conference call and webcast includes a slide presentation that can be found on the Genuine Parts Company Investor Relations’ website. Please be advised this call may include certain non-GAAP financial measures, which may be referred to during today’s discussion of our results as reported under Generally Accepted Accounting Principles. A reconciliation of these measures is provided in the earnings press release issued this morning, which is also posted in the Investors section of our website. Today’s call may also involve forward-looking statements regarding the company and its’ businesses. The company’s actual results could differ materially from any forward-looking statements due to several important factors described in the company’s latest SEC filings, including this morning’s press release. The company assumes no obligation to update any forward-looking statements made during this call. Now I’ll turn the call over to Paul for his remarks.
Paul Donahue: Thank you, Sid, and good morning. Welcome to our first quarter 2022 earnings conference call. As Sid mentioned, we’re happy to have Bert Nappier on the call with us today. Bert joined us on February 28 as CFO-Elect and has been working side by side with Carol to ensure a smooth transition in this key role. Turning to the first quarter, we were pleased with the continued strength and our results to start the year and we’re proud of the great work by all of our 52,000 GPC teammates who are at the core of our success. A few highlights in the quarter include new quarterly sales records for GPC and our automotive and industrial segment, segment margin expansion of 50 basis points, strong double-digit EPS growth and a strengthened balance sheet and strong cash flow. The GPC team is focused on key strategic priorities to sustain accelerated sales growth, improved gross margins and enhanced operational efficiencies in the face of ongoing supply chain challenges and inflationary pressures at levels we haven’t seen in 40 plus years. We also executed on our acquisition strategy and our industrial team made excellent progress on the integration of Kaman Distribution Group. And with the addition of Lausan, which we announced last week, we’ve expanded our automotive footprint in Europe, with the entry into key markets in Spain and Portugal, Europe’s fifth largest market. For the first quarter, total sales were 5.3 billion, a 19% increase from last year. We delivered our 18th consecutive quarter of gross margin expansion and our teams drove cost initiatives to enhance productivity and offset inflationary pressures. All in adjusted earnings per share were up 24%, representing our seventh straight quarter of double digit EPS growth. Total sales for global automotive were 3.3 billion for the quarter, and 11% increase from 2021 and representing 62% of total company’s sales. On a comp basis, sales were up 10% driven by low double digit comps in the US and Canada and high single digit sales comps in Europe and Australasia. This sales cadence through the quarter was relatively steady with our strongest performance coming in the month of March with our team’s posting a 30 plus percent increase on a two years stack. Our pricing actions have contributed positively to sales. And we have maintained our gross margins despite mid-single digit inflation for the quarter. As we look ahead, we believe the sales environment continues to support our pricing actions and we expect current levels of inflation to continue through at least the second quarter. As mentioned earlier, our strongest Q1 comps were in North America. In Canada, the continued reopening of the economy drove strong demand, and a 14% increase in total sales, with comp sales up 13%. In the US, total sales were up 14.5%, with comp sales up 12% from last year. These results reflect strengthening trends on our two year stacks for both markets. In the US, sales to both commercial and retail customers were positive, with double-digit commercial sales growth outperforming DIY. In addition, ticket and traffic counts were both positive for the fifth consecutive quarter. Sales were strong across a number of product categories such as brakes, heating and cooling, and chassis. DIY sales continue to trend well above historical growth rates with enhanced in-store merchandising, improved product assortment, and our digital initiatives all driving solid growth. NAPA online continues to be our fastest growing sales channel, up nearly 50% from last year. In addition, our AfterPay payments service, which offers existing and new customers buy now pay later option has been well received by consumers and is driving higher basket sizes. We have launched AfterPay in other global markets and we are excited to see the growth generated from this new service, both online and in-store. The strength in commercial sales was driven by double-digit growth across the majority of our customer segment. Sales to our major account partners, NAPA auto care centers, fleet, government, and other wholesale customers were all strong, driven by the continued strength and demand for commercial repairs and maintenance. Our sales teams were also effective in attracting new business with national and regional accounts, fleets and auto care accounts, so an outstanding job by our teams and strong results across all our commercial accounts. Furthering our commitment to the commercial segment, we are excited to return to the classroom with in-person training for our auto technicians across the industry. NAPA Auto Tech provides industry leading virtual online and classroom training programs as a value added service for over 50,000 technicians each year. We are particularly proud to have more than 2000 new techs in our accredited training program. Our European operations also had a strong start to the year with total sales up 14% and comp sales up 7% from last year. These results reflect solid growth across each of our seven European markets, and are especially impressive given the headwinds of a mild winter across Europe. Our AAG team continues to drive share gains through key account expansion and the continued rollout of NAPA branded products. As announced last week, we expanded our presence into key markets in Spain and Portugal with the addition of Lausan. Lausan is a leading distributor of automotive aftermarket parts based in Bilbao, Spain, with a nationwide footprint including one national distribution center, and nine regional DC servicing over 14,000 customer partners and key account. With our entree into Spain and Portugal, both highly fragmented markets, we expect to further strengthen Lausan’s market-leading position by capitalizing on our European scale and purchasing expertise as well as leveraging our NAPA brand. We welcome the Lausan team to the GPC family and we are excited to work together to maximize the growth opportunities in our European business. In our Asia Pac business, total sales were up 10% from 2021 with comp sales up 8% and the strongest two years sales tax across our automotive operations. This represents a terrific start to 2022, despite the headwinds posed by the COVID outbreak and severe flooding during the quarter. Both commercial and retail sales continue to perform well with growth for the Repco and NAPA brands driven by the increased demand and share gains from accelerated digital strategies and store expansion. With 2022 representing Repco’s 100th anniversary, it’s only fitting the Asia Pac team would have a standout year. So now let’s discuss the Global Industrial segment. Total sales for this group were 2 billion for the quarter, a 34% increase from last year and representing 38% of total GPC sales. On a comp basis, which excludes KDG, sales were up 16%, representing our fourth consecutive quarter of double digit comps, driven primarily by the strong growth in our North American business. The sales cadence strengthened throughout the quarter with March being the strongest of the three months. The strong sales momentum in our industrial business reflects the benefits of our many growth initiatives and continued strength of the industrial economy, as evidenced by the PMI and industrial production indices. PMI has consistently held at expansionary levels of 57 or above every month since October of 2020 and industrial production was up 8% in the first quarter, its strongest year-over-year growth since the fourth quarter of 2020. Our industrial team is executing on its sales programs to accelerate organic growth, and delivered positive sales growth across every major product category and industry served with most up double digits. As mentioned earlier, our industrial team made excellent progress on the integration of KDG. While Will is going to go into greater detail in a few moments, I would summarize by saying that we are on plan in generating expected synergies. Wrapping up our industrial review, our strong first quarter results gives us confidence in our growth plans and pricing actions and we enter the second quarter with strong momentum. We expect continued healthy activity levels across the vast majority of our products and industries. Finally, it’s important to add that we have been busy in 2022 building on our commitment to responsible ESG business practices. Our focus areas in 2022 include formalizing our carbon emission reduction strategy, and establishing reduction targets as well as driving continued progress in DE&I. We will provide additional details and report on our progress in these areas in our 2022 sustainability report later this year.  So with that, I’ll turn the call over to Will. Will?
Will Stengel: Thank you, Paul. Good morning, everyone. I’d like to echo Paul’s comments and thank the global GPC teams for the impressive start to 2022. The teams did a great job during the quarter and built on the strong finish to 2021. As we traveled and visited the global operations during the quarter, the team energy is positive. There’s a strong sense of focus and alignment and it’s encouraging to see the broad base strength across the business. Our discussion centered around performance trends, initiative progress, talent, and finding better ways to serve our customers. Global supply chain and inflation challenges are common topics and all are doing an excellent job to respond. The in-flight strategic initiatives continued to deliver impact. Our foundational priorities are talent and culture, sales effectiveness, technology, including data and digital, supply chain and emerging technologies. Strategic M&A complements our initiatives.  We added to our talent momentum during the quarter. In addition to Bert joining the team, we welcome Jeff England as EVP, Chief Supply Chain Officer of the US Automotive business. Jeff joins us following an impressive career over nearly two decades at Walmart. He will lead end-to-end supply chain execution for us automotive and brings discipline strategic leadership and relevant expertise. We’re excited to have him on the team. During our travels, we had the chance to meet with the Canadian automotive leadership team in person for the first time in two years. As Paul mentioned, the Canadian economy is showing encouraging signs of strength, as it reopens from prolonged lockdowns and our Canadian team is well-positioned with detailed market-level plans to capture the growth. We also traveled to Australia where we visited locations and performed deep dive initiative reviews. Like Canada, this was the first time in over two years, the extended GPC and Australian leadership team was together in person. GPC Asia Pac continues to capture market share with its differentiated customer value propositions, new store rollouts, and unique digital and brand strategies, all of which are delivering winning profitable growth. We look forward to celebrating the 100th year anniversary with the GPC Asia Pac team later this year. In both Australia and Canada, sales effectiveness initiatives focused on market density, data and analytics, and customer loyalty are proving effective.  Our technology initiatives are building momentum. The teams are gaining positive traction in our efforts across B2B digital, inventory store systems, payments, and workforce management platforms. We continue to invest in diverse engineering talent across the technology organization, and evolve our operating approach to leverage common solutions around the globe. Our supply chain initiatives are advancing well. In the quarter we visited with various US automotive DC leadership teams in the mid Atlantic region, where we walked facilities, assessed operational performance, and thanked the teams. Our US automotive distribution facilities are working hard to process strong demand, despite challenging supply chain and labor dynamics. We also spend time with our industrial business and met with the extended Motion leadership team. We reviewed the successes of our fulfillment center and network optimization effort in Florida. The strategy improved service levels, enhances product depth, and reduces duplicative fixed costs. Similarly, while in Australia, we received an encouraging update on the traction of network and automation investments in New Zealand and Victoria. In each example, our supply chain investments improved the customer experience and enhanced operating productivity. Our emerging technology initiatives made progress in the quarter as well. We hosted our first emerging tech supplier council session with various automotive partners to learn from each other and explore opportunities. We executed various targeted inventory strategies to serve current EV market needs, rolled out marketing efforts, added dedicated emerging tech talent, and advanced numerous emerging tech commercial partnership discussions across Europe, Canada, and the US. M&A bolt on execution continues to be active. We remain focused on adding density to existing priority markets entering complementary strategic geographies and/or adding new product expertise or capabilities. The KDG integration and synergy efforts are ahead of plan. The dedicated integration team is executing a disciplined playbook to deliver value. The feedback from teammates, customers, and vendors continues to be extremely positive. The executive leadership functional and field operating structures are already realigned, and the teams are working well together as one motion team. As an example, the team rebranded the combined fluid power offering to Motion fluid power solutions. Based on Motion’s existing vendor relationships, we onboard over 20 new strategic fluid power supplier relationships, which added 2 million SKUs to our offering, ultimately giving our customers more choice, and our vendor partners and sales teams more opportunity to deliver growth. The team also realigned our automation and robotics business under the Motion AI, or Motion Automation Intelligence brand, which now creates a $500 million leading national automation platform. We are really pleased with the early momentum of the integration efforts and are excited about the value creation outlook. In summary, our travels during the quarter reinforce that our initiatives are well defined, and the teams are focused to execute. Our people care about serving our customers, always impressed with their deep expertise and are energized to deliver results.  Before I turn it over to Carol, I’d like to again acknowledge her amazing career at GPC. Carol, on behalf of the extended team, we thank you for all you’ve done for GPC and for all our GPC stakeholders over the years.  With that, I’ll turn it over to Carol to detail the financials. Carol? 
Carol Yancey: Thank you, Will. And thanks to everyone for joining us today. We’re very pleased with our strong financial performance in the first quarter. As a reminder, our comments this morning primarily focused on our quarterly adjusted results which exclude the transaction and other costs related to the acquisition of Kaman Distribution Group, as outlined in our press release.  Total GPC sales were 5.3 billion in the first quarter, up 830 million or 19% from last year. Our gross margin for the quarter was 34.6%, a 10 basis point improvement compared to the first quarter last year, primarily driven by the positive impact of strategic category management initiatives in areas such as pricing and global sourcing. These gains were partially offset by slight headwinds from supplier incentives, shifts in business mix, foreign currency and the timing of inflation in certain product categories.  Our total operating and non-operating expenses were 1.4 8 billion, up 18% from 2021 and at 27.9% of sales compared to 28.1% of sales last year. Double digit comp sales growth in the first quarter drove SG&A expense leverage, despite the ongoing inflationary pressures in areas such as wages and freight. Our teams are focused on executing our strategic initiatives to further reduce expenses and drive operational efficiencies.  With our strong sales and improvement in gross margin and SG&A, segment profit was 453 million, up 25%, and our segment profit margin was 8.6%, a 50 basis point increase from last year. Our tax rate was 24.5% compared to 23.8% in the first quarter of 2021. With the increase in rate due to several factors, including the impact of prior year gains on the sale of real estate and geographic shifts in income. First quarter adjusted net income was 266 million with adjusted diluted earnings per share of $1.86. This compares to 218 million or $1.50 per adjusted diluted share in the prior year, an increase of 24%; really solid work across our global teams to achieve this strong growth in the first quarter. So turning to our first quarter results by segment. Total automotive revenue was 3.3 billion, up 11% from last year. Segment profit was 265 million, up 12% with profit margin at 8.1%, a 10 basis point improvement from 2021 and up 120 basis points from 2019. Our industrial sales were 2 billion in the quarter, up 34% from 2021. Segment profit of 188 million was up a strong 50% from a year ago and profit margin improved to 9.3%, up 100 basis points from 2021 and up 180 basis points from 2019. This margin improvement reflects the benefits of strong sales growth and strategic initiatives in areas such as category management and pricing. In addition, the industrial team is also advancing their plans to gain further operational efficiencies. Both our automotive and industrial teams are doing a tremendous job of managing through a dynamic environment and delivering margin expansion. Through their steady focus on our strategic priorities, we’ve improved our total segment profit margin by 150 basis points from the first quarter of 2019. So now let’s turn our comments to the balance sheet. At March 31, our total accounts receivable was up 18%, including the sale of 200 million in receivables under an accounts receivable sales agreement. Our inventory was up 17% or up 9%, excluding KDG, a function of the sales increase and accounts payable increased 16% from 2021, in line with the increase in inventory. Our AP to inventory ratio of 124% was unchanged from December 31 and the prior year.  Our total debt at March 31 is 3.5 billion, up 900 million or 34% from March of last year, driven by the 1 billion in new public debt related to the KDG acquisition. We closed the first quarter with available liquidity of 2 billion and our debt-to-adjusted EBITDA is two times. This is at the low end of our targeted range of 2 to 2.5 times and supportive of our investment grade rating.  We generated 399 million in cash from operations in the first quarter, which has improved from last year. For the full year we expect cash from operations to be in the 1.5 billion to 1.7 billion range and free cash flow of 1.2 billion to 1.4 billion. We believe our continued strong cash flow and the financial strength and flexibility of our balance sheet support our growth plans and provide for disciplined value creating capital allocation.  Our key priorities for cash remain the reinvestment in our businesses through capital expenditures and M&A and the return of capital to our shareholders through dividends and share repurchases. For the quarter, capital expenditures totaled 78 million for a broad range of productivity enhancing investments. We also invested 1.4 billion of cash for strategic acquisitions to accelerate growth and while KDG represents most of this investment, we also acquired several automotive store groups across North America. We continue to generate a robust pipeline of additional acquisitions and we remain focused on the successful integration of KDG into Motion. In the first quarter, we also paid 116 million in cash dividends to our shareholders. The company has paid a cash dividend every year since going public in 1928 and the 10% increase for 2022 represents our 66th consecutive annual increase in the dividend. And as part of our share repurchase program, we used 73 million to purchase 570,000 shares in the first quarter. The company is authorized to repurchase up to 11.3 million additional shares and we expect to remain active in this program in the quarters ahead. So turning to our current outlook for 2022, we are raising all full year guidance previously provided in our earnings release on February 17. We expect total sales for 2022 to be in the range of plus 10% to plus 12%, an increase from plus 9% to plus 11%. These growth rates include an estimated 1.5% to 2% headwind from foreign currency translation, and exclude the benefit of any future acquisitions. By business segment, we are guiding to plus 5% to plus 7% total sales growth for the automotive segment, an increase from the plus 4% to plus 6% previously. The new outlook reflects plus 6% to plus 8% comp sales growth, which is up from our previous estimate a plus 5% to plus 7%. For the industrial segment, we are updating our total sales outlook to plus 21% to plus 23%, an increase from our previous outlook of plus 20% to plus 22%. This new outlook includes a plus 5% to plus 7% comp sales increase, which is up from the plus 4% to plus 6% previously. On the earning side, we are raising our guidance for adjusted diluted earnings per share to a range of $7.70 to $7.85, which is up 11% to 14% from 2021. This represents an increase from our previous guidance of $7.45 to $7.60. So while the operating environment remains very dynamic, we’re encouraged by the strength of our first quarter and the continued momentum in our businesses, as we move forward into the second quarter.  To close, as we previously noted, I will be retiring from GPC at the end of May, so this will be my last earnings call as CFO. It’s been a privilege and an honor to work for such an amazing company over the last 30 years and I fully expect the friendships that I’ve made over the years to last a lifetime. I’m proud of the progress we’ve made together and I know that the best days for GPC are yet to come. I could not be more excited for Bert Nappier to start as CFO on May 2. Bert and I have been working hand-in-hand over the last two months traveling to meet with all of our business units and our leaders, as well as spending time with our finance and accounting teams. It was also nice to meet with many of you on our recent visit to New York. I personally enjoyed seeing everyone in person for the first time in two years and I know that Bert found that time extremely beneficial. I’m confident that Bert’s transition to CFO will be smooth and seamless and now he looks forward to working with each of you very soon.  Thank you and I’ll now turn it over to Paul.
Paul Donahue: Thank you, Carol, another excellent review of our financial performance and fitting that our results were so strong for your last call as CFO. As a reminder to everyone on the call, Carol has had an incredible 30 year career in GPC, serving in nearly every key financial role before being named CFO in 2013. In her nine years of CFO, her leadership and her positive influence on the company’s success has been immeasurable. She has served on our executive leadership team, our investment committee, our cybersecurity committee, and in addition, she has held leadership positions in everything from supply chain and logistics, to real estate and IT, in addition to her financial responsibilities. She has been a valued partner to me and the entire GPC leadership team as well as to our board, and she’ll be greatly missed by all of us. So thank you, Carol, and best wishes to you, to Mike, and your entire family. So in closing, we’re proud of our progress in the first quarter, and the strong results to start the year, delivering a new sales record, continued margin expansion, double-digit earnings growth, a strengthened balance sheet, and strong cash flow highlight our first quarter performance. At the same time, our teams have done a terrific job is integrating KDG into the Motion business. Looking ahead, the increase in our sales and earnings outlook reflects the confidence in our plans for accelerated growth and profitability, as we build on the positive momentum in our automotive and industrial businesses.  While cognizant of the many uncertainties in the global economy, we believe GPC is well positioned with the financial strength and flexibility to support our growth plans and provide for disciplined value creating capital allocation while enhancing shareholder value. We thank you for your interest in GPC and we thank each of our GPC teammates for taking great care of our customers and delivering strong results.  So with that, I’ll turn the call back to the operator for your questions.
Operator: [Operator Instructions] The first question comes from Kate McShane with Goldman Sachs, please go ahead.
Kate McShane: Hi, thank you. Good morning. And Carol, thank you, again, and congratulations. Our questions are around the guidance that you raised for the year. We’ve wondered how much of the guidance increase is due to your strong Q1 performance versus maybe what has changed in the outlook for the rest of the year, versus what you were thinking when you first gave guidance? And just has the contribution from inflation changed meaningfully to influence the comp guide?
Carol Yancey: Yeah, thank you for your comments Kate and I’ll talk a little bit about the guidance. So certainly what went into our thinking, the stronger quarter that we had, I mean, really couldn’t be more pleased with both our automotive and industrial teams and the stronger comp sales that they delivered. And so that momentum was continuing on was certainly contemplated in our guidance outlook. And then the inflation number was a bit higher than what we anticipated coming out of Q4, and that was contemplated as well. But really based on what we know now, there’s not a ton of clarity around inflation and you know how volatile that is. But we certainly contemplate it a little bit more on the top line growth and a little bit more on inflation. And, on the earning side, certainly the ability to leverage on that growth and a strong Q1 that we have, we just felt like it was appropriate now to use that range that we have. We certainly hope to do better than that but we thought it was an appropriate range to get right now.
Kate McShane: And just as a follow up question, I think, you know, we’ve seen a bit of a fall off in miles driven given the higher gas prices, but it seems that we still are seeing, as you mentioned, a good degree of momentum in automotive. Can you help reconcile for us why you don’t think miles driven is necessarily having as much of an impact on demand and again, how you see that playing out with the higher gas prices?
Paul Donahue: Yeah, I’ll take a shot at that Kate and good morning, welcome to the call. Look, I think, as you look at our tailwinds in the automotive aftermarket, certainly miles driven is a factor we’ve not and unfortunately we don’t get a whole lot of transparency as to where miles driven is trending currently, it usually trails by a couple of months. But given the high gas prices one would assume it is trailing a bit from last year. But when you look at that tailwinds, you’ve got an incredible pent up demand. People want to travel, airfares are incredibly high, so I think you’re going to see folks traveling more both for vacation but I also think that you’re going to see miles driven pickup with folks returning to the workplace. Even though you’ll see a hybrid workforce, I do believe we’ll see a lift there. Used car prices are at all time highs, lack of new car inventory. All of that I believe is going to continue to bode well for the automotive aftermarket. 
Kate McShane: Thank you. 
Paul Donahue: Thank you.
Operator: The next question is from Greg Melich of Evercore ISI. Please go ahead.
Greg Melich: Hi, thanks. And Carol, I’ll add my voice to the thanks for everything over the years.
Carol Yancey: Thanks, Greg.
Greg Melich: I guess I have two questions. One for you, Carolyn, I’d start is what comp now do you think you need the lever? Given the broader cost inflation like you talked about mid-single digits in the top line, what do you need to lever now getting comp?
Carol Yancey: Yeah, look, and again, as we have contemplated, when you look at what we’re contemplating for the full year, moving comps of 6% to 8% for automotive and 5% to 7% for industrial, we were pleased to take those comps, up 100 BPs. We also are going into the year with greater operating margin improvement, again contemplated in our guidance and in part based on the stronger results in Q1. So we are certainly comping just fine at those levels but at the same time, this is an inflationary environment that we’ve never seen before and so we’re being very mindful on what we’re seeing in terms of inflation and our product inflation and our costs. But we do know when we look at our numbers and our cost structure that we still have permanently lowered our cost structure going back to 2019. So the in the range of the 3% to 4%, we certainly can see operating margin improvement there with all the actions that we’ve taken.
Greg Melich: Got it. And then maybe, I don’t know Paul or Will, if you want to take this, you’ve mentioned some pretty interesting initiatives in terms of expanding and accelerating growth. I guess I’d love to follow up particularly on the AfterPay. Could you take us as to how big that is and what that program actually entails for both pros or DIY customers? And then Will you talked about adding the SKUs, which I thought was the 2 million SKUs. I thought that was interesting, just some more color on that.
Will Stengel: Yeah. So on the AfterPay, it is certainly early days, Greg. It’s not a material part of the business but the trends that we’re seeing in our pilots are very encouraging. It is predominantly DIY today with applications for do it for me in the future. One of the things that we’ve done recently is rolled that out online, and we’re seeing an encouraging trend there. So it’s early days, but something that we’re excited about as it relates to acquiring new customers and driving average order value, which is typically higher than what we’ve seen in our core business.  On the supplier side, you know, I think this was a fundamental thesis that we had, when we acquired KDG, the relationship that’s been the supplier and customer base for that matter in the community that Motion has, with that type of transaction, it created a lot of great productive commercial discussions with all of our vendors. And so we called out the fluid power example as one of them but I would say that the discussions that the Motion team is having with its vendor base now with Kaman as part of the family is incredibly encouraging, including the access to new products, new growth segments, etc. So consistent with what we’ve taught before we bought the business, I am really encouraged to see that initiative taking hold. Just as a reminder, it’s only 100 days in on KDG, so again, early days but encouraging trends in the business.
Greg Melich: Got it. And in my last one, flow got little stronger in the quarter in North America but DIY is still positive. How does that look as you go into the second quarter, especially given the bizarre comps that you’re seeing, particularly in DIY now?
Paul Donahue: Yeah, I’ll take a shot at that, Greg. You mentioned the DIFM comps so up strong-double digits and we’re seeing it across the entire commercial segment from major accounts to auto care to fleet. We’re seeing it across our entire business. DIY is holding up okay. I mean we’re seeing high single digit. Our strength, Greg, is always going to be on the DIFM side and that’s a good 80% of our overall business. For us to generate high single digit numbers in DIY, add to reflect and I think on all the good work our teams are doing in the stores. And look, with inflation that could very well drive people back into the stores attempting to do more DIY type projects. I don’t think the general population is going to get real proficient at changing out their own brakes, but certainly more basic type projects, car care products, I think, will continue to see a good lift in the back half of the year. So yeah, we’re very, very pleased at the mix and anticipate it continuing through the back half of the year. 
Greg Melich: That’s great. Good luck. 
Paul Donahue: Thank you.
Operator: Next question is from Chris Horvers of JPMorgan, please go ahead.
ChrisHorvers: Thanks. Good morning, everybody. And congratulations, again, Carol, on your retirements. By the time that you depart, we might have spring in the United States, so good news ahead. Maybe starting on the industrial side of the business, you talked about the acceleration in March in the US -- and sorry, and in the quarter. Can you talk about what industries are you seeing the most acceleration? And, obviously, energy and ag, there’s a lot of optimism around those sub sectors, given all the inflation that’s going on in those industries. Can you remind us how significant that is for you and to what extent are you seeing improvements in those sub sectors?
Paul Donahue: So as I mentioned in my comments, upfront, Chris, the increases we’re seeing are across the board, and in all the segments that we track, we’re seeing really strong double digit with the exception of two and those two are up mid to high single digit. So you called out oil and gas, we’re seeing huge increases in that segment. Not a huge segment for us but I can tell you, the increase is significant. We’re also seeing good increases, solid increases in segments like aggregate, cement, conveyance logistics products, which really points to the strength and expansion we’re seeing in distribution centers around the country; equipment and machinery, which is our single largest segment, again, really, really strong growth in the quarter. So really, it’s broad based and across almost every segment that that we track.
ChrisHorvers: Got it. And then on the US NAPA business in March, an acceleration is pretty impressive considering we are lapping stimulus from a year ago, and to the point on maybe some late spring impact on DIY. So, can you diagnose maybe what helped that acceleration to the extent that it was pro versus DIY? Was it an acceleration on the inflation front? And then was there much difference in terms of the trend in the quarter between company-operated stores and independence?
Paul Donahue: Yeah, I’ll take the last part first, Chris. Not much difference at all, as we’ve seen in recent quarters between our good solid independent owners and our company stores both performed very, very well in the quarter. And as mentioned, we finished strong we had a record sales month in the month of March, but we were up double digit, January, February and March. And you called weather, Chris; the weather has not really been our friend in Q1, certainly not in April with, as you mentioned, snow storms across the upper Midwest and Northeast. I mean, we’re ready to get into spring and get into the ag business, depends on getting out in the field. So weather has not been a positive for us. DIFM versus DIY, I mentioned in an earlier call, strong, strong double digit growth in our core, which is DIFM and that’s across the entire segment. That’s major accounts, fleet, auto care, really pleased to see the surge in our auto care segment; that’s a great call out for us. But DIY continues to be up high single digit and, again, I think that’s evident of the good work that our folks are doing in our stores with a number of initiatives from improved assortments, enhanced store hours, better training, and better in stock availability, so really broad base across the entire NAPA team are all doing well.
Carol Yancey: And Chris, I would just comment, everything that Paul just said it really was very insignificant in terms of inflationary impact for March, you’re talking about a point or two, Paul said, mid-single digit inflation, we were certainly a bit higher than that in US automotive, but the bulk of it is just all the market initiatives and the growth and really the inflation impact for March specific is really just a point or so, so not significant.
ChrisHorvers: Got it. Thank you very much. 
Paul Donahue: Thanks, Chris.
Operator: The next question is from Liz Suzuki with Bank of America. Please go ahead. 
Liz Suzuki: Great. Thanks for taking my question. So given the pervasiveness of concern in the investment community about a potential recession in the next 12 to 24 months, and then comparing that to the strength you’ve experienced in your business, is there anything that you’re seeing in the leading indicators that you track that give you any pause in your outlook for the remainder of the year, maybe a degree of conservatism baked into that raise outlook, just given the uncertainty around potential recession or economic slowdown?
Paul Donahue: Look, Liz, great question. And certainly, as excited as we are, about our Q1 performance, and how our teams performed really all of 2021 and throughout Q1. We’ve fully realize the environment we’re operating in could get more challenging in the latter part of the year; not as concerned in the US, I think we’ll be fine, industrial remains strong. And I would tell you that our outlook for the balance of the year, we worked really, really hard, and looked at all the factors and we think our guidance for the balance of the year is very prudent.
Liz Suzuki: Great. And just one follow-up about international expansion, I mean, you guys have been adding new markets to your addressable market for the last -- for several decades and adding a couple of new markets even every couple of years. So are there still -- is there still some low hanging fruit that you see out there, markets where you haven’t entered that seemed like they would make sense as adjacencies to your current business or new regions to enter that you think have the same types of either vehicle dynamics or on the industrial side have similar economic backgrounds as regions where you’re already operating?
Paul Donahue: So, Liz, I would mention our latest acquisition of Lausan who’s a market leader in Spain and Portugal. That’ll be our eighth and ninth country that we’ve expanded into in Europe and Lausan is just as you -- or Spain is just as you described, it’s a great adjacency to our current markets, fifth largest market in Europe, 35 million vehicles, average age 11 plus years, it’s very under penetrated. We think we’ve got a real opportunity with a great team on the ground in Spain and Portugal to be a first mover in that part of the world. So that’s an exciting move for us.  As we look at, you mentioned industrial, Liz, look, we are incredibly bullish, as we’ve said in these calls before about our industrial business and I think that was borne out in our big acquisition of Kaman in early January. Still plenty of opportunities for our industrial business and continuing to expand. We’ve got arguably less than 5% market share in the MRO space. We’d love the robotics, the automation business. I could certainly see us continuing to expand in those categories. But I can say the same about all of our businesses, Liz. We have less than 10% market share in every business, in every part of the world that we operate in, including our North American automotive business. So yeah, lots of opportunities going forward and we’re cautiously optimistic about the balance of the year.
Liz Suzuki: Great, thanks very much. 
Paul Donahue: Thank you. 
Operator: The next question is from Bret Jordan of Jefferies. Please go ahead.
Bret Jordan: Hey, good morning, guys. 
Paul Donahue: Hey, Bret. 
Bret Jordan: And congratulations, Carol, again. 
Carol Yancey: Thank you, Bret. 
Bret Jordan: On the 12% comp in the US, did you talk about what’s your feelings around share gain were in that number? How do you see the underlying market in the first quarter? And then did you see anything, I guess, relative to pure price dynamics? Is anything other more or less competitive in the US auto market?
Paul Donahue: Yeah. Bret, being the first one out of the big four to report, it’s hard to say how the others will line up. We’re very, very pleased with our performance in Q1. And if there is any market share gains, my guess is that it perhaps is coming from some of the smaller regional players. But again, until we see the balance of the big four report out, it’d be hard to pinpoint that exactly. In terms of pricing dynamics, Brat, I’m really pleased to tell you that it remains very rational as the automotive aftermarket has for many, many years. Certainly, we’re seeing price increases across all the major categories. But it has remained very, very rational across the industry.
Bret Jordan: Okay. And then a question on Europe, could you talk about the cadence of Europe? And obviously a lot of change in Eastern Europe since late February, but is that showing any impacts in Western European demand dynamic? And then just a housekeeping, you talked about the NAPA brand expansion ongoing there, could you talk about what percentage of European sales are in NAPA branded mix?
Paul Donahue: Yeah, let me take the first part of your question, Bret, in terms of the cadence, again, we had a very good quarter. Well, we had a very good quarter following up on a very good year in 2021 in Europe. So our total sales up 14%, our comps were up 7% in Q1, so very pleased with the performance. As I mentioned earlier, as good as we feel about Q1, we also fully realize that given all of the factors that are occurring in Europe, it could get more challenging in the final three quarters, but I would tell you that our teams are planning accordingly. And, if there’s one thing that we learned, Bret, during the downturn and the pandemic, our teams are very agile, they can turn very quickly and if we do see a downturn in the business, we’ll be ready to pull all the levers to ensure we deliver on the bottom line.  And then the second part of your question, Brat, regarding the NAPA brand, it’s hard to say exactly, but I would tell you, we’re at a point now it’s less than 10% of our overall European business. We launched initially in the UK, it’s more widespread there. And it’s more expansive across a variety of product categories. We have since launched in the Benelux, Germany, France and we’re kind of taking a product category by product category. So we’ve got tremendous upside and many more opportunities to come in. And ultimately now we will launch the NAPA brand as we expand across Spain and Portugal as well. 
Bret Jordan: Great. Thank you. 
Paul Donahue: You’re welcome. Thank you, Bret.
Operator: The next question is from Scot Ciccarelli with Truist Securities. Please go ahead.
Scot Ciccarelli: Hey, guys. Scot Ciccarelli. I’m sure Carol is ready to enjoy her long delayed vacation. Two questions, one on each segment of the business. First, given continuing supply chain challenges, have you seen any signs that companies are trying to increase their domestic production activity? Obviously, that’d be bullish for Motion, if so, and then on the auto business, just given the amount of inflation that’s flowing through both the economy and your own product costs, Paul, have you seen any resistance at all to the higher price points meaning, any kind of demand destruction even if it’s in a small minor category?
Paul Donahue: Go ahead, Will. Will will take the first question.
Will Stengel: I’ll take your first question. Absolutely, we’re seeing that. I would say that discussions with the vendor community are more active than they ever have been on the re-shoring concept. So as you alluded to, that’s incredibly bullish for the Motion business over the medium term. I think the global supply chain and the complexities and some of the challenges that everybody’s been working through over the last couple years make it very logical for that manufacturing activity to come back to North America. So we’re bullish about it and we’ll seize that opportunity as it develops.
Paul Donahue: And then related to your second question, Scott, on automotive, and the higher price points are we seeing consumers trade down; we didn’t see much of it in Q1, I think as evidenced by our strong 12% comp increase, it was strong across just about every product category. But I would tell you with our good better breath -- best strategy we’re well prepared, if we do see consumers begin to trade down to the value lines and we’ve seen that in the past when times get tough, they will trade down. But I would tell you, we did not see much of that in Q1.
Scot Ciccarelli: Excellent. Thanks, guys. 
Paul Donahue: Yeah, thank you.
Operator: The next question is from Daniel Imbro of Stephens. Please go ahead.
Daniel Imbro: Yep. Thanks so much, Carol. I have my congratulations and congrats on the first quarter, guys, on the results. 
Carol Yancey: Thank you.
Daniel Imbro: I wanted to start on the on the industrial piece. Growth was robust, Paul, and with it came some margin leverage. Are you able to disaggregate out of the 1Q margin leverage how much was from any vendor volume rebates versus how much was core sustainable cost removal, just as we model headline growth slowing over time, trying to see how much of that maybe the vendor rebates go away to the back half of this year into next year. Thanks.
Carol Yancey: Yeah, so on the industrial side, again, the Motion comps were 16% in the quarter, and that is just tremendous operating results. And when you get that kind of comp growth, the leverage on SG&A was extremely impressive. And then on the gross margin side, they’ve done a tremendous job. I mean, they’ve got a long track record of initiatives on the gross margin side, both pricing and category management. And with looking at their improvement in their operating margin, and again, the strong 100 BPs, that’s coming about equally from gross margin and SG&A. The vendor incentives, it certainly is moving in line with what the comps are but it’s incremental dollars, but it’s not necessarily giving us the bump on the rate. So really just strong operating, both on gross margin initiatives on the leverage on the SG&A, and, again, just a tremendous job by the industrial teams. And we certainly are pleased, we don’t have any reason to suspect that that doesn’t continue as we look ahead, because we’ve got full year operating margin implied for them as we look ahead.
Daniel Imbro: Got it. And then maybe one for Will, as I think in your prepared remarks, you talked about bringing in some external talent to lead the supply chain, kind of optimize that. I’m curious as to what drove that decision? Are there particular inefficiencies that you guys were really struggling to address on the supply chain or what made you or why is now the right time to accelerate that investment with external talent you brought in? Thanks. 
Will Stengel: Well, yeah, listen, we’re always looking to add great talent and expertise to the organization. And I would say, we’ve been pretty clear that supply chain technology, our foundational priorities around those elements are clear and talent helps us get there, so nothing to read into it other than we’re adding great folks to the team, and we’re looking forward to build on our momentum.
Daniel Imbro: Got it. Thanks so much. Best of luck.
Paul Donahue: Thank you, Daniel.
Operator: We have time for one more question from Seth Basham of Wedbush Securities. Please go ahead.
Seth Basham: Thanks a lot. Good morning. Let me add my congratulations to Carol. I just have a follow up question for you. You talked about the rational pricing environments in the US auto segment. But have you seen any indication of relative price investments from any of your peers who have talked about doing that in the commercial side?
Paul Donahue: We have not, Seth, and look we’re all attuned to that, given the discussions of a couple of months ago, the team here, Will and I and Carol, and Bert, we spent half a day with our US automotive team, the entire leadership team. And trust me, that was a focal point for us. And I can assure you that we’re not seeing it out there. Might have come here in the second half of the year, perhaps, but we certainly didn’t see it in Q1. 
Seth Basham: Got it. Okay, helpful. And one last follow up, regarding KDG integration, did you see any margin accretion in the industrial segment for addition of that business this quarter or was the margin improvement driven by the other factors that you mentioned?
Carol Yancey: Yeah, look, we’re going to stay pretty consistent what we talked about at our February call, and also in December with KDG. We certainly -- it’s not -- the contribution of the operating margin improvement was really coming from the core Motion business. Having said that, really pleased with the early execution of the integration and what we’re seeing there is we get to the fully synergize model, it is definitely accretive to the industrial margins but we’re still a bit early on that. So again, the strong comp growth is really what drove the 100 basis point proven and operating margin. But again, KDG performed well in the quarter, they had a similar grid quarter. The teams are really integrated. We spent some time with them. So as we look ahead, we know that we’re going to be at our targets that we talked about, and hopefully be a bit early on the synergies.
Seth Basham: Wonderful, thank you.
Paul Donahue: Thank you, Seth.
Operator: This concludes our question and answer session. I would like to turn the conference back over to management for closing remarks.
Carol Yancey: We’d like to thank all of you for participating in our Q1 conference call. We appreciate your support. And personally, I appreciate all of your support and your kind remarks today. And the company looks forward to discussing the Q2 results with you in July. Thanks again.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.